Operator: Good morning, everyone, and thank you for waiting. Welcome to GPA's fourth quarter -- to announce the results of the fourth quarter of 2025 of GPA. [Operator Instructions] This conference call is being recorded and will be available at the company's Investor Relations website, where the complete earnings release is available. [Operator Instructions] The information on this presentation and any statements made during this conference call regarding GPA's business prospects, projections and operational and financial goals constitute beliefs and assumptions of GPA's management and are based on information currently available. Forward-looking statements are not guarantee of performance. They involve risks, uncertainties and assumptions because they refer to future events, and therefore, depend on circumstances that may or may not occur. Investors should understand that general economic conditions, market conditions and other operating factors could affect GPA's future performance and lead to results that are materially different from those expressed in such forward-looking statements. Today with us, we have GPA's CEO, Alexandre Santoro, and GPO's IRO, Rodrigo Manso. Now I'll give the floor to Alexandre Santoro to start the presentation.
Alexandre Santoro: Good morning, everyone. Thank you so much for attending the announcement of the results of the fourth quarter and full year of 2025 for GPA. I took over the leadership of the company with enthusiasm due to the relevance and strength of the company's history, but also fully aware of the responsibility of the market. I arrived here less than 2 months ago, and from day one, I have been very close to the operation, deepening the understanding of the business and interacting directly with team, suppliers, customers, creditors and shareholders. GPA holds relevant assets, consolidated brands and a loyal customer base, supported by a team of more than 37,000 employees, the basis of our business. We have a strategic position in Brazilian food retail and competitive attributes that are significant. More than 60% of our revenue is concentrated in the premium segment. We have more than 5 million active customers in our loyalty program, and we recorded a gross margin of 27.6% in 2025, the highest in the segment. This margin shows the strength of our position. Still we have -- we see room for evolution and to increase the profitability of our brands. There are clear opportunities to improve efficiencies, assortment, loss reduction, overall to improve the operational execution. Part of this potential lies on the fundamental equation of our business. Our expense structure proportion is still very high and offers significant room for additional gains in efficiency that are significant as we adjust processes and adapt costs to the operational reality of the company. Our work here is focused on 3 very clear fronts: generating operating cash, financial discipline and improving the customer experience. As of the end of last year, the company announced an efficiency plan to improve efficiency. And as we have deepened the analysis in recent weeks, we have identified several additional opportunities both in SG&A as in CapEx. And in this manner, we are going to expand even further the scope of the initiatives already announced. We also have reinforced internal governance and expense discipline by creating a specific committee for the approval and prioritization of expenses and investments. We are reviewing all of the company's expenses, all relevant expenses of our day-to-day operations, such as service provision, technology, rental, sometimes canceling contracts that make no sense, reducing, changing their scope to make them more adherent to the reality of our businesses. We also reinforce our focus on profitability, both to generate margin both in brick-and-mortar stores and e-commerce, prioritizing growth that is healthy with good margins. This is one of the reasons that the whole company decided to discontinue a program such as the Allies program that brought sales, but the bottom line did not provide any good results and it was operating at a loss, and we are not interested in that. That agenda has been conducted with discipline and responsibility, preserving the experience of our customers and maintaining a constructive relationship with our suppliers, who are fundamental partners for deploying our value proposition. Financially speaking, as it has been broadly announced, we have significant upcoming maturities along the next few months and we are addressing this issue as a priority. This action is in progress. And in November, we announced we are going to defer a significant portion of our debt. This is not something that started when I took office. It's something that had started before. We were directly monitoring it, of course, always in compliance with good governance processes. Now on the next slide, we are going to talk specifically about the results of the fourth quarter. Now looking at the highlights, the fourth quarter showed an improvement in many relevant operating indicators. We recorded an adjusted EBITDA margin of 10%, a significant reduction in net loss with consistent progress in operating cash generation. So this is related to the business seasonality that helped us. We grew 2.7% in same-store sales, advancing in all formats despite the challenging macroeconomic environment. Pao de Acucar grew 1.8% in same-store sales with a market share gain in the premium segment. Now Extra Market advanced 4%, reflecting the maturity of the activities implemented. The Proximity format also showed relevant growth in total sales. And in Digital, we reached almost BRL 700 million in sales, up 6.7% over 4Q '24. The focus here, as I said before, remains on improving the profitability. These results reflect the first impacts of our efficiency agenda that we started to implement. This is the beginning. There is still a significant way for us to improve our operational and financial aspects. Now I would like to give the floor to Rodrigo Manso, my partner and IRO, that is now going to give you more details about our operations.
Rodrigo Manso: Good morning, Santoro. Good morning to everyone. On Slide 5, we highlight the evolution of gross profit and adjusted EBITDA. We continue to make consistent progress in gradual improvement on profitability. Gross margin reached a 27.7%, 50 bps year-over-year. And this movement continues to be supported by greater efficiency and assertiveness of our commercial strategy by the improvement of store operations, highlighting, for example, retail loss and out-of-stock loss and by the evolution of Retail Media, which shows higher margins. Nominal SG&A decreased by 2.5% and now amounts 18.3% of net revenues. This is an important highlight, especially in view of the inflation pressures faced over the last 12 months. The result highlights our ability to capture efficiencies in this line and reflects the initiatives implemented over the last year. Within the context of operating costs and expenses, it's worth mentioning that we are executing an efficiency plan for 2026. It includes reduction of at least BRL 415 million in our operating costs and expenses. The plan is at an advanced stage of mapping and execution, already capturing benefits since the first quarter '26, which reinforces our confidence in the continuity and profitability improvement. In addition, we continue to evaluate additional efficiency opportunities with the potential for incremental captures throughout the process. As a result, the adjusted EBITDA margin reached 10%, an expansion of 40 bps. This consistent performance reinforced the robustness of our operation and gives us the necessary flexibility to calibrate when necessary the promotional levers, balancing profitability and competitiveness. The next slide, Slide 6, I would like to present the details on the net loss from continuing activity amounting to BRL 523 million in the quarter. As shown in the chart, most of the loss is related to a nonrecurring effect with no impact on cash, referring to the net effect of the impairment accounted for the sales of GPA stake in FIC, our financial service partnership with Itau. The impairment amount was BRL 527 million due to the difference between the sale value and book value. In addition, we recognized deferred tax assets related to this transaction in the income tax and social contribution line amounting to BRL 179 million. Excluding these nonrecurring effects, continued net loss for the quarter would be BRL 175 million. On Slide 7, we present the cash flow from the managerial perspective of the past 12 months, a period in which we generated BRL 699 million in operating free cash flow after CapEx. It represents a result 2.6x higher than what was accounted during the previous period. This performance reflects a combination of 3 main factors: improvement of pre-IFRS 16 adjusted EBITDA, which reached BRL 848 million or BRL 36 million growth; efficiency in working capital management, especially in suppliers; and variation of assets and liabilities and the reduction in CapEx. In working capital from goods, we achieved generation of BRL 230 million in the period as a result of an improvement of 6 days in the working capital cycle compared to the previous period. This result is mainly due to one-off negotiations with suppliers, in addition to efficient management of in-store inventories. In CapEx line, we invested BRL 612 million in the past 12 months. It's already possible to see a turning point, reduction of BRL 62 million in the accumulated amount. It all began in the fourth quarter '25 with the review of the company's investment plan and is expected to intensify throughout 2026. Let me take a step back and provide more details about CapEx within our efficiency plan. We have defined a budget of BRL 300 million to BRL 350 million to this line with reduction in investments in expansion, renovation and technology, preserving the investments necessary to sustain the operation and initiatives directly related to customer experience. Moving on to other operating expenses. We continue to observe a reduction compared to the previous year. This line totaled BRL 549 million in the period, down BRL 153 million. Out of the total, BRL 151 million refer to recurring effects and BRL 398 million correspond to extraordinary items, mainly related to tax agreements, labor lawsuits and restructuring. Finally, the net financial income totaled BRL 920 million, an increase of BRL 325 million over the same period last year. This variation reflects the concentration of surety bond renewals linked to tax issues in addition to new issuance, also the increase in Selic interest rate, which impacts the cost of debt, and the reduction in average cash in the period of the last 12 months. Next, on Slide 8, I present the details of our financial leverage. As we've shown on the previous chart, net debt increased by BRL 686 million in '25, also impacted by extraordinary effects already mentioned in the other operating expenses and the net financial cost lines. As a result, pre-IFRS 16 financial leverage ended the quarter at 2.4x compared to 1.6x in the same period last year. It should be noted that in 2026, we'll continue to employ initiatives that can contribute positively to the company, together with the operational improvements already mentioned throughout the presentation. Among these events, I highlight the sale of FIC already announced, which should generate amount of approximately BRL 260 million after the closing of the transaction. In addition, we have been negotiating a new contract for the operation of financial services at GPA branches. It is going to generate short-term additional value and recurring revenue with higher potential than the structure we used to have. I now hand it back to Santoro, who will make his final remarks.
Alexandre Santoro: Thank you, Rodrigo. Before we open for questions and answers, I would like to emphasize some important topics. So despite I've been leading this company, running the company for less than 2 months, it's absolutely clear to me how important the time is. This is a moment of change, and more than that, it's a moment of transformation. GPA has gone through many changes over the last few years, different priorities, different guidelines, but the fact is that we need a structural and cultural change here. A company with the operations, brand and market positioning that GPA has cannot spend for many years without generating cash, whether it is because of inherited partners, investment decisions that are disconnected from the company's operational reality or a mismatch between the businesses and the reality. So what we have here, there is a mismatch, and it's not related to the size and reality of the company. There are many different fronts that needs to be addressed herein, and this is the time for us to solve the problems. And this is my homework. This is my mission. This is what I have to do that is supported by a very representative Board of Directors that are holding more than 70% of the company's capital aligned with priorities with the need to solve the structural problems of the company and also bringing stability and focus for us to move forward. And I say they are fully aware of the structural liabilities that we have. We have the tax liability, labor liabilities. And everything is being addressed in a very responsible way. And as I said in the first part of my address, we have longer -- debt profile is part of our mission. We are fully aware of how important it is for us to continue working on that to have conversations with our creditors within the formal limits of governance of our company. To reinforce this, my term in office is to address the structural issues of the company with discipline and responsibility, aligning operation, profitability and cash generation. I am fully aware of the challenges lying ahead of me and -- but I trust our strategies, the strength of our brands, the strength of our team and the support of our partners and suppliers. We are going to move forward consistently. In this manner, I give the floor back to our operator for us to start our questions-and-answer session.
Operator: [Operator Instructions] So let's move to our first question, comes from Lucca Biasi, an analyst of UBS.
Lucca Biasi: I have 2. The first one is about suppliers. So what was the driver for the increase in suppliers? And how sustainable is that looking into the future? How do you expect it to behave in the future? And my second question is, in the release, you say that you performed well for both brands, both Pao de Acucar and Extra. Do you think this is related to the use of GLP-1? And how do you see the use or the impact of GLP-1 in your basket?
Rodrigo Manso: About suppliers, if you look at the increase in suppliers, it's very much in line with what we had last year, a revenue that is also very similar in the movements, especially discontinuing allies. So this average term for suppliers comes from specific negotiations related to Q4. So the expectation of the company for Q1 also looking into the company's history is to have times that are more in line with Q1 or Q2. So in Q1, you are expecting a more significant effect in terms of consumption of cash in the line of suppliers with the payment of a significant part of seasonality at the end of the year. So this is related to specific negotiations that take place at the end of the year. And your second question about GLP-1, well, I'm going to address part of it, which is the variation in revenue and what we saw in perishables. Yes, it is clear that there is both in Pao de Acucar and Extra, reminding that Pao de Acucar has a concentration of 50% of the revenues in suppliers -- considering the scenario that we have been mentioning since last year with a slowdown in demand in the overall market, we see that the categories related to perishables had a performance that was superior to Q3. It's an improvement. So we can clearly see that in our numbers. As to GLP-1, and I will give the floor to Santoro, it's important to emphasize that we have a platform that is much focused on health and well-being. But the trend with the new medication -- and this has been something that has been going on, is that people want to buy healthier products. And undoubtedly, once they walk in Pao de Acucar, even Extra, we can clearly see that we have a positioning and a value proposition that is focused on the public that seeks well-being and wellness and health. So the GLP might expedite or increase it over in the short term.
Alexandre Santoro: I would like -- I don't have much to add, but just going into a little bit more detail, we really see a change in some categories that have some connection with the GLP issue or the pursuit for a diet with fewer carbs and more protein, so slightly more premium customers. There are some trends that we've been seeing, that we've been monitoring. And as Rodrigo said, I think that we are well positioned to accommodate this kind of change. And 50% of our sales, as they said, in Pao de Acucar is related to perishables.
Operator: The next question comes from Dann Eiger, an analyst with XP.
Danniela Eiger: I have 2 questions. First, the efficiency plan, which is already in place in the first quarter '26. Tell us more about how we can think about how fast you are going to capture new efficiencies. Are they quick things, adjustments of headcount, maybe termination of some contracts? Or should we expect something more long term? This would be good if we could have some more clarity about that. Secondly, concerning the situation of liquidity, Santoro, you made it very clear that this is your main priority, and in your release, you also listed a number of initiatives to deal with it. I would like to know how much is really in your hands. What do we see in terms of appetite of measures, in terms of renegotiation? Just for us to understand how this is going to evolve. In terms of tax liabilities, you used to be very active in renegotiating them in the past. But do you think this is going to be put aside because of limited liquidity and the fact that you have more urgent matters to address?
Alexandre Santoro: Well, first of all, efficiency plan. This is a combination of actions, and I'm going to give you some examples. A number of things that have already been executed and we are capturing the benefits, such as adjustment of infrastructure. Some decisions that are made in terms of CapEx, we are not going to expand that. This is a decision that has been made. And quarter-over-quarter, you are going to see that compared to last year -- last year, it was BRL 700 million. This year, it's probably going to be half of it. So these are decisions that have been made already. As I said in my speech, there is core responsibility. In other words, CapEx is not going to be 0 for obvious reasons. Our priority is to maintain a positive client experience. It's a CapEx to support our businesses. We are going to maintain that. But if it's innovation, technology projects or further expansion, we have agreed that we are not going to make these investments. Within expense control, we are also making some decisions towards that, because historically we have spent a lot on lawyers' fees, consulting services. And these are contracts that are being optimized. We've made this decision, and we are going to start seeing results in the very short term. One more example. We had a number of retail assets that we didn't -- were not using it. They were closed down. So we have already negotiated some of those shop floors that are no longer in our mix. So things that we've already started doing since the end of last year, and now we are speeding up our implementations. Some others will require renegotiation of contracts, different contract scope, for example, especially if it's something which is not aligned with the company new perspective. There are a number of examples, contracts that involve service provision mainly. Now concerning liquidity, we have a number of debt maturities. They are all known. Nothing has changed. We are not higher or we are not more or less in debt. It has all been expected to be paid. We have successfully renegotiated one debt. And we are right in the middle of this process, very active in negotiations, showing our partners and creditors what our implementation plan is, showing them numbers and what it will mean for 2026. Ultimately, we are a company that generates cash from an operational perspective and we expect to improve margins, reduce SG&A and ultimately impacting the bottom line. But at the same time, it's a company that has a tax liability. We're still discussing it. But it's difficult to predict when it's going to be over. We also have labor debts, which are equally relevant, and debts which are part of the equation. We've been conducting a number of negotiations, and I would say this is a very important moment to all of us. And the company, the Board and the creditors are discussing all the different situations. And together, we are going to get to positive results. Now concerning taxes, our strategy has not changed. We are still very active, looking for opportunities and agreements that we may make. This is something very relevant to the company, which concerns liquidity, of course. I told you a little bit about the cash use and the financial income. We need a number of surety bonds because some of the discussions that are at the court levels. So we are still focusing on that, providing the necessary collaterals. And we are going to update the market as we evolve in our initiatives.
Operator: The next question comes from Eric Huang with Santander.
Eric Huang: I have 2 questions. First, considering the stores, you've closed down some stores. Do you think it's going to be optimized further? And what can we expect for 2026? Secondly, concerning your expense reduction plan, what would be nonrecurring elements resulting from these adjustments? And how this is going to interact with the line of other recurring expenses? Trying really to anticipate what we can expect for it in 2026.
Alexandre Santoro: Let me start addressing the issue of stores. In retail, we are constantly revisiting and analyzing the performance of stores. The last thing we want to do is close down a store, of course. It's usually the last resort. There are a number of actions that can be taken before it. And we are really focusing on it and emphasizing all concepts of the business. I have no guidance that I would be able to share with you concerning what would be done towards that line. But quite to the contrary, we are emphasizing operational elements. I can give you an example, which is also part of our efficiency plan. We have it rolling around in place. So we are revisiting the assortment of Proximity stores, for example. Proximity store have a higher logistic cost than larger stores because there is a smaller inventory area, you need constant replenishment in fractions. In some stores, we are running a test, reducing the assortment, the number of items being sold in these Proximity stores, which would have an impact on logistics and operations, consequently, profitability. And it improves the performance of that kind of store. Now talking about timing, which was the previous question as well. There are some things which are to the point. Some other things are more -- they involve logistics, structure, some, let's say, slower processes. But about closing down stores, we don't anticipate to have any significant reduction of our stores. And what we are going to do is try to have stores performing as best as they can, always trying to avoid closing down stores.
Rodrigo Manso: Now Eric, speaking about the efficiency plan and the effects -- nonrecurring effects that we expect, our plan has more than 10 initiatives in place. So contract renegotiation, revisiting our organizational structure. And we've also been considering nonrecurring effects, which are going to impact the results throughout 2026. But at the same time, we've also talked about the effect that non -- the other -- the line of others, nonrecurring effects have from extraordinary payments. We've paid some tax credits or we purchased some precatory notes. Things are going to be reduced throughout the year of 2026. I wouldn't be able really to tell you exactly how much it would be, but we believe it will be absorbed by the lines of others because of the reduction of other items which were extraordinary events in the previous year.
Operator: Our next question comes from Nicolas Larrain from JPMorgan.
Nicolas Larrain: I have 2 questions. One is related to the stores. You had mentioned that GPA is on a waiting atmosphere in some regions. In some stores, you need to wait, whether they make sense or if we are going to sell. I would like to understand your mindset. So are you thinking that there are some branches that you could sell? And the second question is more related to sales. January according to the industry is slightly better than Q4. How are you seeing the performance of stores in the first 2 months of the year?
Alexandre Santoro: So a great question that you have asked. In the first 2 months -- this is one of the fronts, one of the things that we've been looking at this issue that you have just mentioned. There is a clarity of what we should prioritize in terms of our investments and efforts that should be more concentrated in Sao Paulo, Rio and DF, which are 3 regions that are our top priorities. We're going to focus our team, attention, resources and to improve stores and everything. So I would tell you that this thing of reassessing is something that is very significant that is going on right now, and we have been analyzing and talking about that internally with our teams, first of all, to understand and to have an accurate diagnosis. And we are going to try and find opportunities that seem to make sense to us. And the other question about sales. Well, what we've been seeing and what you said about the overall market and other players whose sales have improved in the beginning of the year, we are seeing the same trend. I think that we have managed -- considering our value proposition and the concentration of more than 60% of our revenues in the premium segment, we have been able to stand out, even though in the first quarter of 2025 -- when we look at the market, our growth is always above. So we are going to move on that are significant and important processes along this year. We are actively working on our brands. And along '25, we had an improvement of Extra with a growth that stood out with 4% in same-store sales. So in addition to Pao de Acucar, there was a growth. And our Proximity brands have same-store sales growth. Despite the scenario in Q4, we saw a slight growth in same-store sales. We are working on that intensely and we can see that we have some resilience and a differentiated value proposition, and we want to capture gains that are above the overall market.
Operator: Our next questions come from Alexandre Namioka from JPMorgan -- or rather Morgan Stanley.
Alexandre Namioka: Just a follow-up on Eric's question. You had said that closing a store is the last thing you do, it's the last resort. Before getting to that point, you implement many initiatives to try and improve the performance of those units. Could you try us -- try to explain to us and to quantify how many units in your current complex that are underperforming?
Alexandre Santoro: I would say to you that about 20%, 25% of our stores have a performance that are below what we wish or what we see as their potential. So of course, we have a much deeper analysis. And the first thing that I can tell you is something along those lines. So when you look at the entire portfolio as a whole, so this percentage is slightly higher in Proximity, smaller in Pao de Acucar and slightly smaller in Extra. I think that this analysis to be thorough. It involves staffing. So number one, it starts with sales. So if you can have a better operation, you unlock leverage that you know in this business is really huge. So we start the day with 0 revenue. And expenses, I know what it is. So any leverage with sales changes very rapidly the reality of a given unit. So this first understanding. And of course, there is the operation itself of structure, rental. Sometimes the rental is disproportional. And this involves an attempt of renegotiating the contracts. And if you fail to do that, sometimes we decide to close a unit. So -- but the first number on the top of my head that I would tell you, that 25% of our units, we are focusing very much on improving their performance.
Operator: The next question comes from Gustavo Fratini with Bank of America.
Gustavo Fratini: I have 2 questions from our side. What is the B2B profitability? I would like to understand how much it has helped you gain in gross margin, which was very significant. You've also said that you had 1/3 of the surety warrant bonds related with contingency. How much do you expect to renew in 2026? And what is going to -- how it's going to impact your financial costs?
Alexandre Santoro: The first point about B2B. We have actively adjusted our business, and that has been so since 2024. In 2024, we started a process of profitability with the segment called Aliados Allied, something that had been in the area for a while. It delivered a very small margin, however. And in 2024, we wanted to improve profitability aligned with the other areas of the company. Throughout '24 and '25, there were a number of macro elements that had a negative impact on the total equation. But throughout '24, as we realized that we could not operate within the expected profitability level, we started focusing on it, which has led to our discontinuity. It's a contribution margin. I would say that the profitability was close to 0, very low profitability. It got somewhat better in one or other quarter, but it was not consistent and it was too volatile. No value proposition for GPA. We were simply placing orders, something that wouldn't impact margins really differently from all other business lines we operate on. Now going to your second question. Throughout 2025, there was a significant concentration of renewal of insurance policies. The financial impact of this line will be much smaller in '26 than in '25. These are 5-year contracts on average and the financial impact happens in the first year, the unsure payment. The impact on cash flow was quite relevant throughout 2025 because of the renewals, the concentration of renewals of these insurance policies. What we anticipate for 2026 in the specific breakdown of insurance is to have an improvement. We are also working on different initiatives. We've been trying to swap collaterals and guarantees and reduce our financial costs. This is also being done with all the ongoing suits. Unfortunately, I cannot give you any precise figures, but the trend that we anticipate is to have a reduction on this line, because of the high concentration of renewals we had last year, something which is not going to happen in '26 and '27 and as a result of our active work of reducing financial costs by making swaps and replacements.
Operator: We thank you all for joining us. And with that, we are going to wrap up our investors meeting. Well, our Investor Relations office will be glad to entertain any questions you might have. Thank you very much. Have a good... [Statements in English on this transcript were spoken by an interpreter present on the live call.]